Operator: Ladies and gentlemen, thank you for standing by and welcome to the Peabody Energy Q4 2013 Earnings Call. For the conference, all the participants are in listen-only mode. There will be an opportunity for your questions. Instructions will be given at that time. (Operator Instructions) And as a reminder, today’s call is being recorded. I’ll now turn the conference over to the Senior Vice President, Global Investor Relations and Corporate Relations, Mr. Vic Svec. Please go ahead.
Victor P. Svec: Well, thank you John and good morning everyone. Thanks for taking part in the conference call for BTU. With us today are Chairman and Chief Executive Officer, Greg Boyce; and Executive Vice President and Chief Financial Officer, Mike Crews. We do have some forward-looking statements. They should be considered along with the risk factors that we note at the end of our release as well as the MD&A section of our filed documents. And we also refer you to peabodyenergy.com for additional information. And with that, I’ll now turn the call over to Mike. 
Michael C. Crews: Thanks Vic and good morning everyone. In 2013 Peabody achieved many of the objectives we outlined at the beginning of the year. We significantly reduced cost, lowered capital spending, and maximized cash flow that allowed us to continue our deleveraging plan. The success of these improvements helped to partially offset the effects of challenging markets along with some specific items that affected the fourth quarter. I’ll begin by discussing our 2013 results, starting with the income statement and then provide our outlook along with some major building blocks that will drive our 2014 performance. 2013 revenues totaled $7 billion reflecting lower realized pricing in the U.S. and Australia. Total shipments rose to 252 million tons, as higher Australian and Trading and Brokerage volumes offset a planned reduction in U.S. shipments. Adjusted EBITDA was $1.05 billion compared to $1.84 billion in 2012. While adjusted EBITDA was reduced by nearly $800 million from lower prices, Peabody was able to partially offset that impact with $340 million in savings from our cost initiatives. Adjusted EBITDA from U.S. mining operations declined to $1.12 billion primarily due to lower volumes and realizations. 2013 Australian contributions of $317 million were impacted by approximately $700 million from lower pricing. Fourth quarter Australian volumes and costs were affected by $100 million related to longwall commissioning delays at North Goonyella, and a now resolved labor action at the Metropolitan Mine which increased costs by approximately $5 per ton. While the equipments issues at North Goonyella have taken longer to remedy than originally expected, we have identified the technical issues and plan to be at full production capacity in the second quarter. We incurred $507 million in pretax charges for asset impairments in the fourth quarter and recorded a $31 million pretax charge related to the global settlement with Patriot Coal and the United Mine Workers of America. Now more than 80% of the impairment charge relates to three items, a changing contract or cost structure and expected coal quality at a shorter-lived Australian mine. The adjustments of the MDL 162 resource tenement to its estimated recoverable value and the write-off of the value of reserves associated with the closure of a small U.S. contract mining operation that supported our Atlantic export strategy. Regarding income taxes, the total benefit of $448 million is driven by the remeasurement of foreign tax account, a $124 million tax benefit from impairments and settlement charges, and then normal tax benefits that were larger than expected due to reduced earnings. Diluted loss per share from continuing operations totaled $1.12, but includes $1.63 per share relating to the impairment and settlement charges. Adjusted diluted earnings per share was $0.34. Now let’s turn to the additional detail within our supplemental schedules. In the U.S., volume and revenue per ton declined 4%. Our aggressive cost containment initiatives and higher productivity led to a 3% decline in unit costs for both the Midwest and West region. We increased labor productivity nearly 9% in 2013 by improving our mining methods and reducing the workforce by 12%. This helped mitigate the cost impact of lower volumes. Australian volumes increased to 34.9 million tons on higher metallurgical shipments related to increased productivity at our PCI mines. Australian revenues per ton declined 22% in 2013 on lower realizations for both metallurgical and export thermal coal. During the year we shipped 15.9 million tons of met coal at an average price of $117 per short ton and we sold 11.4 million tons of seaborne thermal coal at an average price of $79 per short ton. Australian costs per ton were reduced 4% from the prior year and were the lowest since 2010. In 2013, we made structural cost reductions in Australia by converting four mines and two preparation plants to owner operator status and we advanced productivity improvements at the PCI mines. These improvements and a 20% reduction in the Australian workforce resulted in total Australia productivity gains of 27%. The trading and brokerage results continue to be impacted by low volatility and pricing in the seaborne market that led to a decline in mark-to-market earnings and reduced export margins; lower U.S. brokerage volumes and margins primarily related to Patriot Coal; and compressed margins on U.S. and Asian exports. Now we would expect trading and brokerage results to remain constrained at approximately 5% of adjusted EBITDA until market conditions improve and volatility returns. That’s the review of our income statement and key earnings drivers. Note that operating cash flow totaled $722 million in 2013 and we reduced capital expenditures by over $650 million compared to 2012 levels, allowing us to reduce debt by over $200 million during the year. Capital spending is expected to total $275 million to $325 million in 2014 with investments focused on maintaining production levels. Peabody continues to have substantial liquidity of $2.1 billion including $440 million of cash. Our third quarter credit facility refinancing allowed us to increase our liquidity, extent maturities and gain financial flexibility with significant covenant headroom. Now I will close with a review of our outlook. For the first quarter we are targeting adjusted EBITDA of $170 million to $230 million and adjusted diluted earnings per share from a loss of $0.10 to earnings of $0.14. And these ranges reflect lower pricing in Australia and the U.S., several large contract reopeners in the U.S. at lower prices primarily in the Midwest, ongoing long wall commissioning activities at the topcoal caving system at North Goonyella and long wall moves in Colorado and Australia. With the operational improvements to be completed in the first quarter, we expect improved results in the second half of the year on increasing volumes, lower cost per ton and expectations of improving markets. I also refer you to our Reg G schedule in the release of four additional quarterly targets regarding the DD&A, taxes and other line items. For the full year we’re targeting U.S. volumes of 185 million ton to 195 million ton with increased western shipments offsetting slightly lower Midwest volumes. We target Australia sales of 35 million ton to 37 million ton, including higher metallurgical volumes of 16 million ton to 17 million ton, export thermal volumes of 11 million tons to 12 million tons with the remainder from domestic contracts. In addition revenue per ton is projected to decline 5% to 8% in the U.S., we expect lower U.S. cost per ton of 1% to 3% compared to 2013 through mainly the cost improvements in the west and Australian costs are targeted to be the low to mid $70 per ton range, as further cost reduction efforts are partly offset by an increasing mix of higher cost metallurgical coal. That’s a brief review of our 2013 performance and 2014 outlook. For a discussion of the coal markets and other updates, I’ll now turn the call over to Greg.
Gregory H. Boyce: Thanks Mike and also good morning everyone. I am very pleased to report on the performance of the Peabody team in 2013, as we worked through the toughest times of the current market cycle. This year our approach is to continue to improve our safety performance and position on the cost curve, continue to unlock value, maintain financial health during low cycle and position ourselves for greater success as the supply demand fundamentals improved to 2014. So this morning I will review the global coal markets and then discuss Peabody’s position and priorities for this year. Globally we saw coal demand reach new highs in 2013. China and India again drove record imports. Germany and Japan added new coal generation and higher natural gas prices in the U.S. resulted in utility switching back to coal. Supply though was also strong in 2013 and seaborne prices declined as shipments outpaced demand. Producers responded by reducing capital spending and closing high-cost mines leading to improved market conditions in 2014 as the supply demand balance improved. Within the metallurgical coal market, seaborne supplies increased nearly 30 million tons in 2013 led by Australia. New projects, take or pay agreements, whether of disruptions and a lower Australian dollar resulted in this growth in exports as Australia widened its lead over other competitors. But at the same time Chinese metallurgical coal imports increased over 40% in 2013. And China has overtaken Japan as the largest metallurgical coal importer. China imported only 10% of its metallurgical coal needs however and rising cost, declining domestic quality and transportation advantages continued to support additional import. Near-term markets are likely to improve once we move past temporary demand barriers such as the near-term cyclical lows from the Chinese New Year as well as a new trend of reducing industrial production in the winter as a seasonal emissions reduction strategy. We see improving metallurgical coal fundamentals as 2014 progresses with demand growth that exceeds increased supply. Now looking at the seaborne thermal market, new coal generation in a number of key countries is supporting import demand. Chinese coal generation increased 7% in 2013 while domestic coal production increased only 1% leading to record thermal coal imports of nearly 250 million tons. China is also targeting the build out of a 100 gigawatts of coal fuel generation by 2016 and more than 20 coal to gas plants by 2020. India's coal generation rose 8% last year driving a 25 million ton increase in thermal coal imports to a new record of 135 million tons. India’s coal imports have tripled over the last 4 years as domestic productions continue to lag demand. Japanese coal use increased every month in 2013 over the prior year and a new coal generation was added to replace the nuclear capacity. I’d also note that an advanced coal plant is slated to be built at the site of the former Fukushima nuclear plant. European coal generation remains strong as utilities closed 12% of their gas plants in 2013 due to high natural gas prices. And Germany is bringing on 6 gigawatts of new coal generation resulting in the country's highest coal usage since 1990. South Korea, Indonesia, and other Asian countries have added new coal generation and IEA now forecast that coal use will continue to grow and overtake natural gas as Southeast Asia’s main fuel for power generation. Peabody expects that some 70 gigawatts of new coal generation will come online in 2014 and we look for a 30 million ton to 40 million ton increase in seaborne thermal demand this year, both China and India accounting for two thirds of the growth. I’d like to take a moment to discuss the path that China is taking to improve emissions and maintain energy security. All of our analysis suggests that China will continue to increase coal use for electricity generation and coal to gas applications, more than offsetting the reduction in direct, uncontrolled use of coal in residences and small businesses. The national will continue to build out advanced coal generation and place the missions control equipment on existing plants. The net result will be that China will use far more coal but more cleanly than today. And I’d say that’s the same model that U.S. used from 1950 to 2010. Longer-term global coal demand will rise as urbanization and industrialization trends in Asia continue, leading to steel production growth, new coal generation being built, coal being converted into synthetic natural gas and amid high international natural gas prices and nuclear usage decline, a growing pushback against carbon policies and high cost renewables. For all these reasons, IEA and other observers project that coal will to surpass oil as the world's largest energy source in coming years. Now on the supply side we also look for production growth to moderate with a significant slowdown in new developments and the closure of mines at the high end of cost curve, the U.S. thermal coal exports are likely to continue to pull back as export declines accelerated in December to the lowest levels of 2013. And China is projecting coal production to only modestly increase this year as larger new mines in the West offset the closure of 100’s of smaller operations in the east. It’s our view that the large number of projects that have been canceled in the past six quarters could lead to a significant supply shortage over time as demand continues to increase and existing production capacity begins to decline. Turning to the U.S., we are seeing strong marketing indicators particularly in the Powder River Basin, after working through a stockpile overhang that have prevailed for the last two years. U.S. coal demand increased 5% in 2013 as utility switched back to coal with natural gas generation declining 11% on rising gas price. Coal shipments dipped 3% in 2013 and more than 200 U.S. mines have closed over the last two years. Many of these mines were in the East were Central Appalachian production was down some 13% last year. The combination of increased demand and lower production removed the stockpile over hang in the PRB with customer inventories falling at the faster rate in more than a decade. 2014 is starting off with below normal temperatures resulting in record natural gas withdrawal and heating degree days more than 10% above average in the coal heavy regions. Benchmark gas prices have exceeded $5 per 1 million BTU in recent days and are far higher than that in some regions. Customer interest in spot coal supplies has increased in recent weeks. PRB inventories are currently at 52 days of supply as of 27 days improvement from the end of 2012 and PRB prices were up nearly 40% from their lows of last year. The PRB in Illinois Basin are the best positioned coal regions over the longer term with projected demand growth of some 100 million tons by 2016 related to basin switching and increased capacity utilization. Coal field 40% of U.S. electricity in 2013 and it will be a major part of the U.S. energy mix for decades to come. So that’s a review of the markets. Turning now the Peabody, this year we plan to expand on our 2013 successes in the areas of safety, operational excellence, cost reduction and capital discipline. Let me outline six steps for taking to continue to create shareholder value. First we will continue to drive strong operational performance building on safety and productivity gains. This includes capturing the benefits of the North Goonyella longwall topcoal caving system as they begin to operate at designed levels. Second, we will target additional cost improvements as we fully realize the value of recent on our operated conversion. After we complete converting the Moorvale mine in Queensland in the second quarter more than 90% of our Australian production will be in owner operated. Third, we will continue a tight capital spending program as we benefit from the investments made in the recent years. Fourth, we’ll continue to explore the sale of non-strategic assets as part of our long standing role as portfolio managers. Fifth, we’ll position the company for growth using our leading reserve position. Asian business development opportunities and global coal trading network and I’d now look forward to working with Shanxi on our Asian coal trading as we implement our new joint venture. And finally we will advance a major new global efficacy initiative and pursue improved energy policy around the world. Peabody is launching a comprehensive global campaign to build awareness and support to eliminate energy poverty, increased access to low cost electricity and improve emissions through advanced technologies. The initiative is aimed at advancing the public policy framework and investment climate for our company and industry. Our actions occur as challenges to coal exist in some key markets, but also as the desire for low cost energy grows. Europe is pushing out renewable and carbon growth. Japan has announced a focus on economic growth and will not need unworkable carbon goals and the Australian government works to repeal its carbon tax. So in summary we’ve remained proactive across the Peabody platform, managing share market challenges while positioning ourselves for a much greater success as these markets improve. Now with that review of the global market conditions in Peabody's target areas for the New Year, we’d be happy to take questions at this time.
Operator: (Operator Instructions) We will go to Michael Duda's with Sterne Agee. Please go ahead.
Michael S. Dudas – Sterne, Agee & Leach, Inc.: Good morning gentlemen.
Gregory H. Boyce: Good morning Michael.
Michael S. Dudas – Sterne, Agee & Leach, Inc.: First question for Greg, as you characterize the global markets for thermal and met, which market do you think is going to be quicker to correct the oversupply condition and begin to try a more meaningful visible pricing?
Gregory H. Boyce: Well, I think you're going to see a number of markets change. I think our view is that US exports are going to continue to decelerate and come down during the course of 2014. But also and more importantly our view is that the supply growth that we have been seeing out of Australia this year is going to be significantly tempered through 2014. What we saw was a number of projects that were sanctioned and started during the heavy days of seaborne pricing were completed, came into the market, and were brought online and we don't see new projects or substance through 2014. So certainly the level of growth that we saw out of Australia will be tapered and tempered and we see continued reductions in U.S. exports.
Michael S. Dudas – Sterne, Agee & Leach, Inc.: And my follow-up on the met side, looking at the Australian cost curve, can you guesstimate – not to speak to your position, but relative to other producers, is there a element of production that’s loss making in your current high quality coking coal prices and are we going to see some of that wash itself out if prices stay low through the first half of the year during 2014?
Gregory H. Boyce: Yes, I would have to say that it’s our view that in today's current pricing there is still production coming out from both the U.S. and Australia that is not sustainable. And we should see those rationalizations continue to unfold during the course of 2014. We have always maintained that in order to be able to attract investments in the met coal sector that pricing was going to have to be say $200 a ton from new capital and greenfield projects. So at some point here through 2014, end of 2015 we are going to have demand exceeding supply and that we're going to have a period of time where we're going to have a supply shot in the marketplace until new capital is sanctioned and new projects are built. Our view is that’s not going to happen until people’s views, our own views of that pricing is going to be at a higher level for a longer period time.
Michael S. Dudas – Sterne, Agee & Leach, Inc.: Thank you, Greg.
Operator: Our next question is from Paul Forward with Stifel. Please go ahead.
Paul S. Forward – Stifel, Nicolaus & Co. Inc.: Good morning.
Gregory H. Boyce: Good morning Paul.
Paul S. Forward – Stifel, Nicolaus & Co. Inc.: I wanted to ask about the 5% to 8% price decline you’re anticipating in the U.S., can you talk about how much of that is going to be mixed shift back toward the PRB and how much of that is you’ve mentioned in the press release, the lower contract prices in the Illinois Basin. But can you break it down a little bit for us mix versus the contracts?
Michael C. Crews: Sure, this is Mike. Yes there is a combination of two and I think you’ve hit on both. So we referenced in the remarks, we do have some large reopeners that come in and that’s just a function of contract timing and when those contracts reopen. So we have some of that coming in this year that primarily impacts the Midwest but there is also some impact on the West. But then also within the West we’re projecting higher volumes, you’re going to have a higher mix of PRB coal, so you’re going to get some lower realization per ton from a mixed basis as well in the West.
Paul S. Forward – Stifel, Nicolaus & Co. Inc.: All right and the shifting over to the met coal markets, I just appreciate the comments Greg on Australia. I was just wondering also Peabody’s view that kind of negative pieces on met coal pricing is partly based on the idea that over the next couple of years China will be able to grow domestic supply. What’s your view on China’s internal met coal supply growth potential?
Gregory H. Boyce: Well we have a more tampered view others I believe in terms of like China will do with their met coal growth. I mean met coal is coal based strategic commodity in China. And they have been growing their imports, when you look at the location of their new steel production capacity it is designed to handle a much greater level of imports. And then you’ve got to look at the quality components of Chinese met coal versus what they can access in the international markets, as they continue to work on their mission profiles from their industrial base. Our view is they will continue to use the imports to help balance the quality parameters of what they have internally. So we see steel demand in China continuing to grow and we think a good portion of that met coal demand growth will come from international supply. It’s not to say that they won’t provide some growth internally, but it will not and our view would be payable to sustain and meet their total demand growth.
Paul S. Forward – Stifel, Nicolaus & Co. Inc.: Okay, thanks.
Operator: Next we’ll go to Evan Kurtz with Morgan Stanley. Please go ahead.
Evan L. Kurtz – Morgan Stanley & Co. Inc.: Hi, good morning guys.
Gregory H. Boyce: Good morning Evan.
Evan L. Kurtz – Morgan Stanley & Co. Inc.: My question is just on Australian cost and I kind of think about all the positives out there, there is a lot on the list, you have carbon tax repeal, weaker dollar the full year benefits from a lot of Illinois operated conversions you did, the absence of Metropolitan and correct me if I am wrong but maybe trading headwind from North Goonyella given the $5 ton hit in the fourth quarter. Do you think that your guidance for kind of low to mid 70’s next year in 2014 is perhaps a little bit on the conservative side, maybe you can just walk me through some of those pieces and how you’re thinking about all those? 
Michael C. Crews: Sure Evan this is Mike. When you think about – let’s start with some of the things that may impact cost going up. First of, you are always going to have higher striping ratios from year-to-year. So you’re going to have higher overburdened removal cost. You are also going to have just your normal escalations or inflation around labor services and input cost and things like that. We do have a higher mix of higher cost to produce metallurgical cost, that’s going to raise cost on an average basis overall. Now we’re to offset that. Some of the issues that you mentioned are cost reduction initiatives, our productivity improvement are all going to be going in the other direction to the extent that carbons access reveal that that is a benefit which we have said previously is a $1 per ton to $2 per ton and has not happened yet. We think the range that we have provided is reflective of the pluses and minuses. But I think once we get a little further into the year we also have the potential for lower exchange rates, we’ve got about 25% of the book open right now, so every $0.05 change in exchange rates is about $35 million. So based upon our hedge book and the current forward strip on, the Australian dollar we’d estimate that foreign exchange benefits is some $0.75 to a $1 per ton. But the bias on the Australian dollars to witness, or there could be some potential benefit there. And then finally while we look at and we’ve talked about our cost reduction initiatives, we still think we have more room to run and continued optimization around owner operator and we’ll continue to trading to lower end of the range of the guidance we have provided.
Evan L. Kurtz – Morgan Stanley & Co. Inc.: Great, that’s helpful. And maybe just as a follow-up, is there a possibility to break out the difference – the $5 per ton that you took from North Goonyella and Metropolitan between the two. And do you view North Goonyella as being a year-on-year improvement or kind of a net neutral headwind in 2014?
Gregory H. Boyce: Well, yes, so the impact is split between North Goonyella and Metropolitan about 80% of the fourth quarter impact related to North Goonyella and we’ve indicated we’re still going to have some ongoing commissioning into the first quarter. So that will be a full year impact just from what happens in the first quarter.
Evan L. Kurtz – Morgan Stanley & Co. Inc.: Great, thanks so much.
Michael C. Crews: I will just re-emphasize, if we didn’t have a mixed change to more metallurgical coal in 2014, the Australian dollar or the Australian cost guidance for 2014 would be lower. We are still getting cost improvement benefits from our owner operator conversions, from our productivity improvements. But they get masked once you start adding a higher component of metallurgical coal in the mix. Our metallurgical coal mines are by nature higher cost than our thermal coal mines.
Operator: Our next question is from Jeremy Sussman with Clarkson’s. Please go ahead.
Jeremy Sussman – Clarkson Capital Markets: Hi, good morning everyone.
Gregory H. Boyce: Good morning Jeremy. 
Jeremy Sussman – Clarkson Capital Markets: Greg, I just wanted to follow-up quickly on the Aussie dollar question. So just to clarify, if we stay at the current level of the $0.87 on the dollar, would you guys see an additional benefit this year relative to what you’ve given in the next year, I presume you’re less hedge, so maybe talk about the potential impact on that as well?
Gregory H. Boyce: Yes, so based upon the hedge position we have on right now. There is about 25% open and we assume an all in effective rate that’s actually going to be better than 2013 and that’s at that $0.87 forward. So based upon that we would project within our cost guidance that we would benefit from lower exchange rates by $0.75 to a $1 per ton, to the extent the dollar weakens further we could ask some additional benefit.
Jeremy Sussman – Clarkson Capital Markets: And then for next year?
Gregory H. Boyce: Yes, in 2015 we are in the mid-50% hedged. So an all in effective rate based upon the 15.4 would be somewhat consistent with 2014.
Jeremy Sussman – Clarkson Capital Markets: Okay. Much appreciated. Then just may be shifting gears to the PRB, Greg, you mentioned that you’ve seen an increased amount of request, I guess for spot business if I heard correctly. Can you maybe elaborate a bit in terms of what you’ve seen maybe over the past month? And then at 52 days worth of inventory, which was likely falling, I would suspect can you just talk about your general expectation for pricing throughout the year?
Gregory H. Boyce: Well, we turned over the year with about 10% to 15% open position. That’s a little higher than we normally would and we do that as we talked in the past because of our expectations where prices may go during the course of the year. Obviously we don't have a price number then to talk about, but surprised to say our view is, prices have come up from their lows in 2013. We see positive pressure because of where inventories are at, where the weather continues to be, where gas prices are now above that $5 level. And we have talked about it before, we don't believe that there is significant amounts of latent capacity in the Powder River Basin. And so we see that market strengthening considerably based on its current trend rates particularly in stockpiles.
Jeremy Sussman – Clarkson Capital Markets: Excellent, very much appreciated.
Operator: Our next question is from David Gagliano with Barclays. Please go ahead.
David Gagliano – Barclays Capital Inc.: Hi, thanks for taking my questions. I just wanted to simply in turn get some numbers around some of the commentary. First of all on the met side, what Pacific Basin benchmark price would cause you to cut your 2014 met coal volume targets? That's my first question.
Gregory H. Boyce: Well, surprising to say we managed our portfolio to make money in market conditions, currently the market conditions that we have. But I wouldn't be in a position to signal what our curtailment numbers are in the marketplace. But I think we’ve shown that we made decisions to curtail operations when they are not profitable to continue to operate. And so we have been active portfolio and operating managers and we would continue to do so.
David Gagliano – Barclays Capital Inc.: As prices stay where they are in the spot market indices we see, will you continue to run at the 16 million ton to 17 ton million ton target?
Gregory H. Boyce: Yes, our current plans are to maintain our production where we're at today through these market conditions.
David Gagliano – Barclays Capital Inc.: Okay. And then my follow-up on the U.S. side, what were the prices of the 50, I think it was roughly 50 million tons that you held for 2014 delivery and 10 million tons for 2015 delivery. What are the prices for those tons? If you break it up by region that would be really helpful. Thanks. 
Gregory H. Boyce: Yes, I appreciate that Dave, as well as the consistency of that question quarter in and quarter out. But as you know we don’t disclose the prices at which we are contracting on that. We do give obviously the breakout in terms of what the realized prices are when those occur. But as we did say we're contracting at levels nicely above where we were contracting in 2013 as dubs of that spot price.
Operator: Our next question is from Meredith Bandy with BMO. Please go ahead. 
Meredith H. Bandy – BMO Capital Markets: Hey, good morning everyone.
Gregory H. Boyce: Good morning Meredith. 
Meredith H. Bandy – BMO Capital Markets: I only just wanted to ask first of all you mentioned Greg that you don't believe there is significant maintenance capacity in the PRB, where do you think is Peabody’s capacity especially in the U.S. given where your CapEx budget is, assuming you didn’t really change any CapEx?
Gregory H. Boyce: Well, we’ve got similar capacity to others in our operations. We can kick up over time and run our existing equipment update harder and then that would be the first activity that you’d see us do in order to increase tons. We’ve got our few operations in the Midwest that are not operating on a seven day schedule, so we could add those. And we’ve already increased our guidance for the PRB for this year versus last year. So I think the immediate issues would be over time in the PRB, over time and maybe another day of operation at some of our Midwest operations. Once you get beyond that, we like others will have to begin to source equipment to have any significant increase in production.
Meredith H. Bandy – BMO Capital Markets: Okay, so would you say it’s fair to say like, 5% to 10% above where you’re operating today would be doable without CapEx?
Gregory H. Boyce: Yes, I think that’s a fair range 5% to 10%. 
Meredith H. Bandy – BMO Capital Markets: All right, thanks very much.
Operator: Next we’ll go to Timna Tanners with Bank of America. Please go ahead.
Timna Tanners – Bank of America Merrill Lynch : Yes, hi good morning guys.
Gregory H. Boyce: Good morning Timna.
Timna Tanners – Bank of America Merrill Lynch : So I want to shift back to Australia, two questions there. We haven’t heard from you since the Wilkie Creek decision. So I just wondered if you could please elaborate on what you’re thinking there in light of that decision shut the mine and what it tells about your operations in Australia more broadly? And then I have a follow-up. 
Michael C. Crews: 
 :
Timna Tanners – Bank of America Merrill Lynch : Okay, that’s helpful. So I just wanted to know in addition, easy one, is just if you could remind us on the Aussie dollar hedge tradition if you have one and how much? And then further to Australia, just thinking about the lower CapEx number it doesn’t imply a much growth obviously from Macarthur. So just thinking how do you think about the Macarthur growth, where would that take, what would you need to see that turn, maybe get that back into expansion mode?
Michael C. Crews: Yes, so on a hedge basis for calendar 2014 we are hedged at about three quarters of requirements. So 25% of that’s open at an average hedge rate in the low 90’s. And then beyond that as I mentioned previously the hedge position is in the upper 50’s for 2015 with little bit higher hedge rate versus 2014.
Gregory H. Boyce: Yes, this is Greg, maybe I’ll talk a bit about Australian growth and what we’ve been focused on. Obviously in these market conditions, what we’ve been most focused on with the Macarthur asset base was obviously at Coppabella and Moorvale and recently at Middlemount is getting those operations upto their full capacity and optimizing the value of those assets in the existing market. Beyond that we’ve been spending considerable amount of time in some resources and doing additional drilling and engineering work on the reserve base that we bought. As I said in our last call, I mean what we’re seeing in that reserve base is a much stronger reserve in terms of quality and quantity than we had originally anticipated. If you remember we put on hold the development of the [indiscernible] mine. We still have that in the portfolio as an option when we think that the markets are ready for new volumes. But in addition, we’ve identified a number of other opportunities that we’re continuing to advance as well. So we have not forestalled growth activities in terms of continuing to develop the engineering in the reserve base and the technical database so that we maintain our optionality when we think the time is right to begin to allocate larger amounts of capital into that platform.
Operator: Our next question is from Brian Yu with Citi. Please go ahead.
Brian Hsien Yu – Citigroup Global Markets Inc.: Great, thanks. And my question is a follow-up on some that were asked previously. Can you give us a break down for West and Midwest, how that 5% to 8% decline in average prices is going to work, is it within those two regions?
Michael C. Crews: We would just say that the greater percent of that would be in the Midwest. You do have a bit of a waiting issue going on but the primary area there relates to those longer-lived contracts that are now rolling up for reopening.
Brian Hsien Yu – Citigroup Global Markets Inc.: Okay. Second one is on CapEx, there was a positive surprise for 2014, you are getting to a $0.70 to $0.80 per ton CapEx and I remember in the past you’ve said that numbers would be 1.5 may be to 150. Is this sizable delta sustainable or is it just the new normal going forward or if not, how long do you think you can keep CapEx down at these levels?
Michael C. Crews: Yes, in terms of our CapEx we’ve talked in the past, we think we can keep these CapEx levels low for the next several years and let me just take a minute and explain why. If you look at our capital spend over the last 5 years we started out in the U.S. by recapitalizing our major operations in the Powder River Basin [indiscernible] specifically. We implemented a truck strategy five years ago that placed the new equipment, upsized equipment both in terms of trucks and large loading shovels into the Powder River Basin. We then went into southwest and built El Segundo brand new equipment to build that mine. In the Midwest you will know that we built [indiscernible], again with brand new equipment. The average loading shovel, it has got a 20 year to 25 year life, trucks have a 10 year life. And so the replacement side what we did is we significantly have renewed our mining equipment platform in the U.S. so that our replacement cycle has been put on a hiatus because we’re early in the lives of all of that equipment. Then we rolled forward to Australia and we converted all of our operations or a significant portion of them to owner-operated during 2013 and now finishing up with Moorvale in 2014. Again all of that is new equipment. And so when you look at sustaining capital, the biggest component of that is replacement capital for mobile mining equipment. Now we’ve got a number of years where we’re in the earlier life of that equipment. As you get four years out we’ll start to see some of that sustaining capital spend begin to come back in as we managed the replacement of our mobile fleet and our equipment fleet so that we’re not looking at 10 years from now and having to do it all at once. So that’s the biggest reason why we’ve got this great window of low capital spend for the sustaining platform and is very fortuitous to us because we’ve got these couple of years left of paying for these leases in the Powder River Basin. We don’t see significant increase in sustaining capital, so we get beyond that LBA payment schedule.
Brian Hsien Yu – Citigroup Global Markets Inc.: Okay. Thanks for all the details.
Operator: Our next question is from Justine Fisher with Goldman Sachs. Please go ahead.
Justine B. Fisher – Goldman Sachs & Co.: Good morning.
Gregory H. Boyce: Good morning Justine.
Justine B. Fisher – Goldman Sachs & Co.: The first question I have is on PRB production and I know that you guys have said that you could probably increase production by 5% to 10% without spending a lot more capital and based on your guidance, you did around 185 million tons last year and it could go up as much as 10 million tons this year. It seems like you are producing into some of the higher demand that you said you are seeing in the PRB. If you guys do that, and if we hear from other PRB producers that they do the same, what will prevent that from putting a cap on some of the pricing that you realized on kind of just utility steel producers bringing on tonnage all most immediately into a better pricing environment?
Gregory H. Boyce: Well, I can’t speak for others. I mean obviously we’re not going to begin to spend over time and work extra hard unless we’re getting significantly higher pricing for our product. And so we’ll just have to see how the current low inventories, high demand, translates during the course of the remainder of the year.
Justine B. Fisher – Goldman Sachs & Co.: Okay. And then my second question is on the met coal market, you had said before that you expect U.S. met coal production cuts and frankly that’s something that we’ve been looking for as well and I wanted to ask you because you are a U.S. producer but you don’t have U.S. met operations. What do you think is going to drive eventually the cuts that we need to see in the U.S. because we also think that there is a lot of production that’s not making money right now, but again it still being sold and I know you cited reasons in Australia that the production has increased and the exports have increased? But in the U.S. we are just finding it little bit confusing and some reasons I can think over maybe again, producers have a lot of liquidity, so maybe they are just selling money losing tons, because they can afford to, maybe they don’t want to give up the market share. So I can think of some reasons why, but what do you think will be the catalyst for getting the production cuts that we need to see out of the U.S.?
Gregory H. Boyce: Well, I think a couple of things. I think there was a view that if they can weight it out the price horizon in international met coal that they could continue their run and produce tons into the international market. And to a certain degree they were supported by reductions in terms of rail cost to the ports. Our view is I mean if you listen to the cost from the railroads, I think they’ve done what they can, so there is no more to be added there and in fact prices have come down. So we’re starting to see shipments come down and we think – you can only have that strategy of losing money and waiting and sitting for so long. So that’s the perception from outside of the east, I’ll let you ask that question to the other folks on their call.
Justine B. Fisher – Goldman Sachs & Co.: I will try to. Thank you very much.
Gregory H. Boyce: Thanks.
Operator: And we will go to John Bridges with JPMorgan. Please go ahead. John Bridges, your line is open, possibly take yourself off of the mute.
Gregory H. Boyce: Hello, John, are you there?
John D. Bridges – JPMorgan Securities LLC: I am, I am. Sorry, I just got caught up on other call. Yes, I just wanted to ask you a big picture question with respect to the U.S. with this amazing weather we have been suffering from. We hear stories that some of these coal fired power plants which are supposed to be taken offline in a year or two are running and given the long lead times for new gas pipelines and things for the alternative power sources, just wanted to know your view on the practicality of some of these plants?
Gregory H. Boyce: Well, it’s a great question John. I guess it’s our view that we’re going to see some serious review of previous decisions as to the exact timeframe when some of these plants are going to be retired, because you’re right they’re being run today and we’re seeing more and more evidence that people are concerned about the ability to supply power particularly in swing periods, whether it be the summer or the winter. I mean comments from even the FERC commissioners around grid instability or seeing some folks begin to say well maybe we shouldn’t target shutting down by 2017. We need to run these plants for couple of more years. And I guess, as we see what’s unfolding this winter, I think we’re hearing more and more conversations around that and likely we will see some decisions turned into a little bit longer run time frame before they are actually shuttered. Now obviously some of those closures have been negotiated settlements. I don’t know what flexibility they have with those, but certainly the ones that were more voluntary in nature we think folks will take a closer look at.
John D. Bridges – JPMorgan Securities LLC: Okay, good. And as a follow-up just wondered what the problem was with Goonyella and the top caving, what problems have you been having?
Gregory H. Boyce: Okay. Thanks for that question, John, because I know there has been a lot of interest around what’s happening in North Goonyella and maybe I’ll just take a minute to give a bit of a background and where we stand today. First, in terms of the technology that we’re using this longwall top coal caving technology, I mean historically at North Goonyella, we have been mining about 4 meters of 6.5 meter seam using conventional longwall technology which means you got to set a shield and you’ve got to sheer that runs in front of those shields and so you’re getting single side recovery of the coal which you’re cutting. And we’ve always struggled with the size of the equipment to be able to support the root conditions in North Goonyella, complex geology and you all have lived through some of the ups and downs of geologic impacts at North Goonyella. So what we did is we looked at this technology called longwall top coal caving and what it did is first of all it is significantly the larger, stronger gear, the shield, the sheer everything is sized much larger, so that it has the capacity to withstand the geologic conditions in the roof. Second of all what it does is when you install it, you reduce the thickness of the coal that you actually cut on the front side with the sheer and the back side of the shields now have a conveyor on them where you allow the coal that you leave when you cut to cave down the conveyor. So you’re in essence recovering both sides of the longwall shields. And that allows us then to go from only mining 4 meters of a 6.5 meter seam to getting the entire 6.5 meter seam. Now this equipment is – it’s a Caterpillar equipment, so we’re working with the largest equipment manufacturer of this type in the world. As Caterpillar equipment as the result of their acquisition of Bucyrus, and a company called DBT, which was a German company that designed and build these longwalls for years in this industry. In fact we have a DBT longwall at Twentymile which is one of the most productive longwalls in the U.S. So we’ve done this in cooperation with the Yancoal. Yancoal was the first company to install one of these systems at their Austar Mine in Australia in 2006. And so they had the operating experience and the benefit of that knowledge. I’d also note that BHP Billiton has installed one of these longwalls at their Broadmeadow Mine in Queensland as well. So the people that are involved in this, the technology that we’re using is well known, but like with any of these systems, when you introduce, big gear and new systems, which are to a certain degree specially engineered for each application. You have issues. Now we would normally have a startup curve during commissioning that may last 60 days. But in the case of this particular installation, I’d say two things, one the installation of the equipment itself was delayed for when we originally thought that was going to take place. A lot of that was things that we did not plan as effectively as I would have liked in terms of our road, as you can imagine when you bring extra heavy equipment underground you got to have very good roads to bring it on. We did a lot of work, but we also struggled. But more importantly we have had an unusual amount of what I would call significant equipment related issues. The rear conveyor that I talked about is having alignment problems that kept us from running it. The shear that cuts the coal onto the front of the longwall has a control module on it, it’s like the control module in your vehicle that you drive. We were losing those every 24 hours first from unknown reason. I talked about the shield have to support weight of the roof of the coal mine. And they have release valves, when the pressure gets to high because the last thing you want to do is catastrophically fail the shear. Well those hydraulic valves had issues in manufacturing. And then there is a monorail system that all of the hoses and all of the other equipment is back and forth across in the top of this shield system, so that the shear can move back and forth and we’ve had issues with that, so unusual things to occur. Now where we stand today, good news is the rear conveyor and the control system and the hydraulic valves we’ve got engineering fixes for those. We’ve got temporary fixes that we’re operating under right now and Caterpillar has designed and is sourcing will be supplying during this quarter, the replacement gear for those. The monorail system has got some additional engineering work to do, but again we’re putting on some temporary closures to that. So all of that is on track, I've had a number of conversations with my counterpart at Caterpillar. There is no question that we’ve got to focus in the alignment between our organizations to continue to make this work. Once we get all of those things repaired then we’ll be back on what I would call a normal commission cycle and by that I mean, okay, now we’re mining it very high rates, what do we need to balance our underground gas flows and to maintain our production. I will tell you that everything we see when the system runs, we’re even more excited than we originally envisioned it, because of the size it’s supporting the geologic conditions that we had hoped it would and also when it produces coal, it produces coal at a higher rate than we originally envisioned. So we’ve got full confidence that we're going to get this thing up and running. None of us were all disappointed in the time that it’s taking including Caterpillar, but it is a long-term solution to North Goonyella and it’s going to increase the reserve base, increase the recovery and ultimately lower cost as it’s finally up and running. So I hope for everybody that bit of color helped understand what we have been going through at North Goonyella.
John D. Bridges – JPMorgan Securities LLC: Well, best of luck Greg, and thanks for the answer.
Operator: Our next question is from Caleb Dorfman with Simmons & Company. Please go ahead.
Caleb Dorfman – Simmons & Company International: Good morning gentlemen, thanks for taking the question. So Greg, you talked about 20 million tons to 30 million tons of additional coal consumption between 2014. With the gas prices about $5 right, some sort of [indiscernible] what is your gas price assumptions for that gain and what type of additional upside can we possibly see to that point 20 million tons to 30 million tons that you’re…?
Gregory H. Boyce: The 20 million tons to 30 million tons would have been related to seaborne market. We expect the U.S. demand to be up a similar amount. So as you netted it across everything we're looking at 40 to 60 across the globe, but I guess just to make sure everybody understands, we see 20 million ton to 30 million ton up in the U.S. and we see the seaborne thermal market up 20 million ton to 30 million ton as well.
Michael C. Crews: And in terms of the gas price that would have actually assumed probably at lower gas price than what we're seeing right now in the spot market, something consistent with the forward strip or maybe even little bit below what the [indiscernible] current forward strip is given the upward movement at the current Moorvale as though we could do there.
Gregory H. Boyce: Saying in another way I guess, the gas prices stay where they are at today. We will see more U.S. demand in what we’re currently forecasting.
Operator: And next we will go to Mitesh Thakkar with FBR. Please go ahead. 
Mitesh Thakkar – Friedman Billings Ramsey & Co.: Good afternoon everybody, thank you very much for taking my question. Just Greg, great color on the PRB and Illinois Basin market, but just one follow-up question on that, when you think about inventory levels going forward [indiscernible] stuff like that. How to think about a normalized inventory level for PRB and Illinois Basin and where we are?
Gregory H. Boyce: Well, we’ll focus on the PRB for a minute. Normalized everybody has got bit of a different view. But we think getting down to – we’ve already said, getting down under the low 50s was a great target, normalized is probably closer, right at that 50 number, people would say, yeah, that’s historically what a normalized number would have looked like. The Illinois Basin, it’s a bit of a moving target, and the reason I say that is, we went through such a long period of time where the Illinois Basin was more constrained. We’ve obviously seen demand growth. I mean a pick up in the Illinois Basin. It’s at a higher level, at least the last seven numbers we see it’s probably at 70 day supply. Probably historical – I would have thought historical for the Illinois Basin might have been somewhere in that 55 days to 60 day range.
Mitesh Thakkar – Friedman Billings Ramsey & Co.: Great. And how much increase in production do you expect in the PRB this year?
Gregory H. Boyce: Well, if you look at our forecast of 20 million to 30 million increase in demand in the U.S., a fair share of that is going to come from the Powder River Basin.
Operator: And ladies and gentlemen that brings us to the top of the hour. I’ll turn it over to Mr. Boyce for any closing comments.
Gregory H. Boyce: Well, thank you operator and thank you everyone for your interest in BTU. I want to really extend my appreciation to the entire Peabody team for the hard work, their accomplishments for the delivering of value in what is been difficult markets. And I thank all of you for your continued interest. We’re going to continue to execute on our key priorities and we look forward to keeping you apprised of our progress in our upcoming calls. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.